Operator: Greetings. Welcome to Doman Building Materials Group Limited Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please note that this conference is being recorded. At this time, I'll turn the conference over to Ali Mahdavi. Please go ahead, Ali.
Ali Mahdavi: [Operator Instructions] joining us this morning for Doman Building Materials Third Quarter 2025 Financial Results Conference Call. Joining us today on today's call are the company's Chairman and Chief Executive Officer, Amar Doman; and Chief Financial Officer, James Code. If you have not seen the news release, which was issued after the close of markets yesterday, it is available on the company's website as well as on SEDAR along with our MD&A and financial statements. I would also like to remind you that a replay of this call will be accessible until midnight, November 21. Following the presentation of the third quarter results, we will conduct a Q&A session for analysts only. Instructions will be provided at that time for you to join the queue for questions. Before we begin, we are required to provide the following statements regarding forward-looking information, which is made on behalf of Doman Building Materials Group Limited and all of its representatives on this call. Remarks and answers to your questions today may contain forward-looking information about future events or the company's future performance. This information is subject to risks and uncertainties that may cause actual events or results to differ materially. Any information regarding forward-looking statements is made as of the date of this call, and the company does not undertake to update any forward-looking statements. Please read the forward-looking statements and risk factors in the MD&A as these outline the material factors, which could cause or would cause actual results to differ. The company will not provide guidance regarding future earnings during today's call, and management does not anticipate providing guidance in future quarterly or interim communications. I'll now turn the call over to Amar.
Amardeip Doman: Thanks, Ali, and good morning, everybody. Thank you for joining us. On the back of a very strong first half of the year, the third quarter was similar in terms of our focus on optimizing operational and financial performance on both sides of the border while navigating through continued macroeconomic headwinds stemming primarily from rising interest rates, inflationary pressures, affordability and concerns around the risks of things slowing down. Throughout the third quarter, we worked through the impact of what I would qualify as a very challenging pricing environment. While volumes and general demand have been steadier than the pricing side, we are seeing choppy demand in certain areas of the business due to some of the macro pressures I just mentioned. These trends continue to exist in our day-to-day activities. Overall, the North American market has been shaped by a mix of cooling demand on housing, high mortgage rates and tariff uncertainty, all of which have tempered buying activity. While price volatility remains, we expect modest gains during the remainder of the year if housing activity rebounds and policy conditions, including tariffs and trade measures, stabilize. Despite these external pressures impacting our numbers, our focus remains on what we can control to ensure we maximize margins and free cash flow generation. While we see a cautious tone and sentiment from our customers and how they are managing through some of the same macro headwinds, demand remained steady across all key end markets during the quarter, with volumes in various categories remaining range bound. However, given the lower pricing for construction materials, revenues and margins experienced some pressure in the third quarter when compared to the first and second quarters of the current year. Despite the pricing pressures caused by the various factors I mentioned, I remain pleased and encouraged by the strength of our business model and our ability to perform while ensuring that our first-class level of service remains on point. As a result of our collective efforts, the revenues amounted to $795 million, gross margin remained strong at 15.5% or $123.1 million, EBITDA of $62 million. Net earnings came in at $18.1 million. And lastly, we paid another quarterly dividend totaling $0.14 per share, representing our 62nd consecutive quarter of paying a dividend. I'm also very pleased with our ongoing focus on balance sheet management and optimization. To this point, after 9 years of ownership and planting approximately 10 million new seedlings, we sold the remaining portion of our timberlands during the third quarter, with net proceeds of the sale further strengthening our balance sheet, which Jay will comment on a little bit later. Looking ahead, we remain excited as we work through the macro and pricing-related dynamics while we continue to manage our costs and always look for growth opportunities. As always, we remain confident in our ability to work through volatile markets diligently while serving our customer needs with the highest level of service. We remain excited about our growth profile and the overall prospects of the business. And with that, I'd like Jay Code, our CFO, to take over and provide a review of the company's third quarter 2025 financial results in greater detail, and then we'll open the call up for questions. Jay?
James Code: Thank you, Amar. Good morning, everyone. Sales for the 3 months ended September 30, 2025, were $795 million versus $663.1 million in Q3 '24, representing an increase of $132 million or 19.9%. The increase in sales was primarily driven by contributions from Doman Tucker Lumber, which was acquired October 1, 2024, and therefore, did not factor into our results for the comparative third quarter of '24. Our sales this quarter were made up of 79% construction materials, with the remaining balance resulting from specialty and allied products of 17% and other sources of 4%. Gross margin for the quarter was $123.1 million versus $103 million last year, an increase of $20.1 million, again, benefiting from the results achieved by the Doman Tucker Lumber acquisition as well as ongoing focus on the company's margin enhancement and stabilization strategies. This quarter's overall gross margin percentage was 15.5%, which was consistent with the percentage achieved last year. Expenses for the third quarter were $86.1 million compared to $73.5 million, an increase of $12.6 million or 17.1%. And as a percentage of sales, this quarter's expenses were 10.8% compared to 11.1% last year. Distribution, selling and administration expenses increased by $5.5 million or 9.9% to $61 million this quarter from $55.5 million in '24, mainly driven by the addition of expenses related to Doman Tucker Lumber. As a percentage of sales, DS&A was 7.7% this quarter compared to 8.4% last year. And this quarter's EBITDA was $62 million compared to $46.3 million in 2024, an increase of $15.7 million or 34%. Finance costs in Q3 were $18.1 million compared to $11.8 million in Q3 '24, an increase of $6.3 million, largely driven by additional interest costs related to last year's debt financing of the Doman Tucker Lumber acquisition. Doman's net earnings for the quarter were $18.1 million compared to $14.6 million in '24, an increase of $3.5 million. And turning now to the statement of cash flows. Operating activities before noncash working capital changes generated $131.6 million in cash in the first 9 months of 2025 compared to $108.9 million for the same year-to-date period in '24. Operating cash flows during the period were positively impacted by this year's inclusion of the results of Doman Tucker Lumber. Seasonal changes in noncash working capital generated $15.4 million this period compared to $12.2 million in the first 9 months of last year. Overall, financing activities reflected significant reductions in debt during the first 9 months of this year. 2025 year-to-date net repayments of our revolving loan facility totaled $150 million, driven by strong operating cash flow as well as the proceeds from the sale of the company's timberlands, to be discussed further later. This reduction in debt provides the company with available liquidity of $397 million at September 30, 2025, compared to $163 million at December 31, 2024. We also note that in the comparative period in '24, the company completed the issuance of our 2029 unsecured notes. resulting in gross receipts of $265 million, with partial proceeds used to repurchase a portion of the company's 2026 unsecured notes in the amount of $52.3 million, with the balance allocated to reduce the company's revolving loan balance last year. Dividends this year returned $36.7 million to shareholders, largely in line with 2024 dividend amounts and payment of lease liabilities, including interest, consumed $24.1 million of cash compared to $21.3 million in '24. The company's lease obligations are -- generally require monthly installments, and these payments are entirely current. We also note the company was not in breach of any of its lending covenants during the 9 months ended September 30, 2025. Overall, investing activities generated $59.9 million of cash in the first 9 months of '25 compared to consuming $71.4 million in '24. Investing activities this year include the sale of the company's Southeast BC timberlands for cash proceeds of $75.2 million as well as an investment in a small electrical distributor in Southern California in September 2025. The first 9 months of 2024 included the Southeast lumber acquisition for total cash consideration of $62.3 million. Additionally, the company invested $14.7 million in new property, plant and equipment this year compared to $9.5 million in 2024. This concludes our formal commentary, and we're now happy to respond to any questions that you may have. Thank you. Operator?
Operator: [Operator Instructions] And the first question is from the line of Kasia Kopytek with TD Cowen.
Kasia Trzaski Kopytek: Amar, I think, buyers like Home Depot and Lowe's comfortable holding less inventory now than they would be in prior cycles, in your opinion?
Amardeip Doman: Yes, definitely. I wouldn't say it's just lumber. I would say across all categories. This started probably a year ago where a lot of the big-box stores and other retailers are very much a little bit compressing their working capital down and trying to push their inventory turns up. We obviously play a part in that. It's keeping us closer to the markets, though, and turning our inventories faster as well. So all the way down the pipe, I don't think it's a big impact on our final sales numbers.
Kasia Trzaski Kopytek: Okay. And we've seen lumber prices move a bit here in the recent months or so. How much of that do you think is a reflection of the industry realizing that sawmill cash burn has gotten extreme here and that there will have to be cuts? West Fraser just announced last night. And how much of that is just the supply chain trying to get ahead of any more supply cuts that may be coming down the line?
Amardeip Doman: Yes. I don't think there's any panic, to be honest with you. There's two things going on in the market. One, what you read in random lengths is one thing, what's happening is another. So the cash markets are very soft, very weak. The mills have a lot of inventory, both sides of the border, it's not good. So this little uptick is kind of just coming off the bottom. I wouldn't say there's any deliberate attempt for anyone to start piling down lumber, but the activity and the takeaway just isn't strong. So it's just not a good period. So it is nice to see it stabilize with some of the curtailments and see a little bit of uptick, but I wouldn't [ write ] home about it just yet.
Kasia Trzaski Kopytek: Yes, that's probably fair. And just back to the 2-tiered market that you referenced, we know what the price for U.S.-bound lumber is. How much of a discount are you seeing right now versus the random length print for Canadian-bound lumber?
Amardeip Doman: Yes, it's all over the map, Kasia. I couldn't tell you exact numbers. But if you're a buyer, you still got the leverage today on lumber. And if you're showing up ready to buy carloads or truckloads in any sort of volume, you're just going to make your price today. It's -- we need more curtailments to adjust to the slow takeaway that's happening. And we hope that things get better next year with more interest rate cuts, and we start to see more takeaway. But right now, it's sort of make your bid and set your price.
Kasia Trzaski Kopytek: Right. And Amar, I think the general consensus is that something north of 1 billion board feet of lumber capacity has to come out. When would the distribution channel kind of start to get a little bit more incentivized to start positioning themselves if we get kind of 500 cumulative? Like what's the number you think?
Amardeip Doman: I would say, over the next few months, if we see some more curtailments happen and again, get closer to the takeaway numbers that are out there that are still stubbornly weak, it's just sort of a flat market. So I couldn't tell you exactly when, but I can tell you that we're moving in the right direction for pricing upswing. I just don't see it tomorrow morning. But directionally, we are starting to see lumber come off, like you mentioned the West Fraser curtailments. And there'll be some others, I think, happening and some smaller sawmills just can't make it probably through this. And if they've got a bad balance sheet, it's going to be difficult, so they're going to have to shut down. So I think directionally, we've bottomed, but I just don't see a big torque tomorrow morning.
Kasia Trzaski Kopytek: Yes, that's fair. And then stepping back a bit, I imagine now is the time when you're starting to have discussions about new programs for 2026. Any early indications about the tone of those discussions?
Amardeip Doman: We have started some of that. I think the business will be steady through 2026, which we're happy with. We're very happy with how this fall shaped up. September and October were good for volumes. Obviously, pricing has been in the tank. But for our volumes, things have been decent. So wood is moving on our end, which is good. Repair and remodel has not died. It's doing fine. So it's nice to see that for our end takeaways. And I think rolling into '26, if we can have volumes that were the same as '25, Doman will make a lot of money, and we will, I think, continue to just work on our balance sheet and get our debt down even further than we just did. So I think we'll be in good shape in '26.
Operator: The next questions are from the line of Frederic Tremblay with Desjardins Capital Markets.
Frederic Tremblay: You spoke about the leverage a little bit there. I wanted to maybe tie that into potential M&A activity. Just wondering if you had any comments on the pipeline of opportunities that you're seeing and if you'd be comfortable transacting in the near term if the right opportunity was available, considering the positive evolution of your leverage position lately.
Amardeip Doman: Thanks, Frederic. I'll answer the latter part of the question, and I'll let Jay discuss where our liquidity is today and the debt reduction that's moving in the right direction. The M&A activity, we've got certainly our eyes open and in discussions all the time with certain companies that we'd like to acquire that fit our strategy. The balance sheet is now back to more than ready to move on some things if we feel like the valuation is right. So certainly, we're not hamstrung by any means, and the liquidity opening up here has been excellent. So we can think very clearly and be disciplined as we always have on our acquisitions. And hopefully, in '26, we'll see 1 or 2 come down the pipe. So maybe, Jay, you can answer on the leverage.
James Code: Yes. Sure. Thanks, Amar. Frederic, yes, as you pointed out, the leverage has come down, sitting at about 3.8x at the end of September. down significantly from recent peaks for financing the Tucker acquisition in Q4 of '24. So we'll expect that to continue to drop through to the end of '26 at least, given market conditions, we expect to generate -- continue to generate significant debt reductions going forward.
Frederic Tremblay: Great. That's helpful. And maybe switching just to margins, some nice margin protection in Q3, despite the lumber price headwinds in the U.S. Should we think about Q4 margins in a similar fashion, i.e., not at the very top of the 14% to 16% gross margin range, but somewhere in there?
Amardeip Doman: Yes, Frederic, I would say so. I think that the bottoming of lumber has happened. So we're starting to see, as we just talked about in the last couple of questions there, we're seeing stable to a little bit of an uptick. It's still soft in the cash markets. But certainly, I think the margin stabilization should start to trend a little bit better as we go into the fourth and first quarter and the lumber slide has finished going down. So hopefully, that will perk us up a little bit on margin and hopefully, the volumes will continue. And just to finalize on the liquidity, I believe now with our revolver and combined full liquidity, we've got over $400 million of liquidity right now. So we're in very good shape to take care of some M&A.
Operator: The next question is from the line of Zachary Evershed with National Bank Capital Markets.
Zachary Evershed: Congrats on the quarter. With the larger acquisitions now playing on your team for some time now, do you think you've reached a level where your distribution S&A in dollar terms should remain roughly flat or in line with inflation?
Amardeip Doman: Yes, I would say so. I think inflation or wage inflation, obviously, we take care of our team members, and there's always that push up on wages, et cetera. But yes, I think we'd be in line there. And also, we're consolidating and -- we don't have huge numbers to report or anything, but we're consolidating a lot of our SG&A in the U.S. into Plano, Texas into our office there. So that's going to bring some operating leverage to the system as we continue to lever up and organize all of our computer systems in the states, and that's going to drive some good synergies and cost savings as well.
Zachary Evershed: Got you. And then the latest acquisition does look pretty small, but maybe you could tell us a bit more about it. Any expected synergies and what you like about it?
Amardeip Doman: Yes. It's a strategic acquisition that came through one of our business leaders, and it's very small, but putting our toe in the water in Southern California to assist our Alpha electrical division that's out in Hawaii. This will help some buying synergies. It will also put us on the map on the mainland and electrical, and we'll continue to grow. It's a smaller business for us, but certainly very strategic. And we're excited about Temecula Electric being in our fold now.
Zachary Evershed: Excellent. With your customer concentration up since the acquisition of Tucker, how are you feeling about it? Do you view it as a risk?
Amardeip Doman: Sorry, Zach, could you say that again?
Zachary Evershed: How are you feeling about your customer concentration these days? Do you view it as risk?
Amardeip Doman: No, certainly not. We're very close to our large customers. And of course, we work hard every day to maintain those relationships. It's our business to lose. So we got to work on that every day. And our team members do that. So I think our customer relationships are in very, very good shape. We work hard at it. I think we're one of the best as far as having relationships with the folks that issue us purchase orders, which we thank them for every day. But I think our customer concentration is not any issue, as far as the Tucker acquisition went. It's helped broaden our base with one of our largest strategic customers, and we continue to grow with all of our customers. So things are in good shape there.
Operator: The next question is from the line of Nikolai Goroupitch with CIBC Capital.
Nikolai Goroupitch: Considering the shopping demand you're seeing, could you maybe highlight some pockets of strength and weakness in the business?
Amardeip Doman: Yes. The R&R business, repair and remodel, has been surprisingly steady to up in the fall after a soft summer of takeaway. So we're pleasantly surprised to see that consumers are still spending despite, I think if we read the headlines, we all want to kill ourselves and it feels like the world is coming to an end, it's not. Things are going on. And frankly, consumers have money. We're not seeing mass, mass layoffs in the U.S. Consumer is good there. And in Canada, we're having a nice fall on all building materials. So we've had a nice pickup in our distribution system in Canada, starting kind of late August, early September, and it continues into October here and into November. So a nice pickup later in the year. So we're surprised at these trends. A lot of it is R&R. Obviously, new homes, construction is flat to soft. So the R&R business has been good.
Nikolai Goroupitch: I see. And then maybe looking into next year, respective of commodity prices, what sort of main projects or initiatives are you looking at that could potentially provide some gross margin uplift?
Amardeip Doman: Yes. We're going to -- well, we are, I should say, we're upgrading our Gilmer, Texas production line and fencing. We produce a lot of fencing in the states, and we're going to continue to invest in our mills and upgrade them, reduce labor and modernize and optimize. So we're working on that. If that works, we'll roll it across all of our sawmills, and we're looking at planting a flag in the East Coast as well as far as producing fencing on the East Coast. There's a lot of tariffs and things that are happening with South America, which is squeezing production coming north. And we want to take advantage of that opportunity, not for the short term, but for the long term and establish ourselves as a large fencing player on the East Coast of the United States as well. So you're going to see some pretty good exciting things come from us on the sawmill side in specialty.
Operator: We have a question from the line of Amit Prasad with RBC.
Amit Prasad: It's Amit on for Matt. Just a quick follow-up on the last one. You called out some benefits to the Canadian distribution side. Just wondering if you've seen any changes to the competitive environment on the U.S. side.
Amardeip Doman: Yes. Yes, the strength in Canada has been nice. It's not robust or crazy, but it's certainly picked up from where it was, where it was looking very dire most of the year. And we've caught up to our budgets, and it's nice to see that. The team has worked hard at that for sure. As far as the U.S. goes on the competitive landscape, I haven't seen or saw, I should say, in our kind of runway or our space too much activity as far as M&A goes. We've seen it kind of in the pro dealer with Lowe's and Home Depot doing a lot of acquisitions like FBM, [ Accestra ], and SRS. Those acquisitions are large, but they're not really in our space. Those are different product lines that Doman doesn't participate in. So really kind of a nothing burger as far as what's going on with kind of LBM and what we're up to.
Operator: At this time, I'd like to turn the floor back to management for closing comments.
Ali Mahdavi: Once again, thank you, everyone, for joining us this morning for the quarterly call. If you have any follow-up questions, by all means, please feel free to reach out to myself. We look forward to speaking with you again on our next earnings call, which will be in the new year. That concludes today's call. Wishing you all a great weekend.
Operator: Ladies and gentlemen, thank you for your participation. Please disconnect your lines, and have a wonderful day.